Operator: Good morning, ladies and gentlemen, thank you for standing by. Welcome to the Quality Systems Fiscal 2013 Second Quarter Results Conference Call. At this time, all participations are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be provided at that time. (Operator Instructions) I would like to remind everyone that this conference call is being recorded today, Friday, October 26, 2012 at 7:00 am Pacific Standard Time. I would now like to turn the conference over to your host, Mr. Steven Plochocki, CEO. Please go ahead, sir. 
Steven Plochocki: Thank you, Ron, and welcome everyone to the Quality Systems 2013 Fiscal Second Quarter Results call. With me this morning are Paul Holt, our CFO; Dan Morefield, our Chief Operating Officer. Welcome, Dan, to the company in your first earnings call.
Daniel J. Morefield: Thank you. I’m happy to be here.
Steven Plochocki:
 : Please note that the comments made on this call may include statements that are forward-looking within the meaning of securities laws, including without limitation, statements related to anticipated industry trends, the Company’s plans, products, perspective and strategies, preliminary and projected, and capital equity initiatives to the implementation of potential impacts of legal, regulatory and accounting principles. I’ll provide some opening comments and then turn it over to the team. Company reported a $116.1 million for the fiscal 2013 second quarter in terms of revenue, an increase of 8% versus a $107.6 million for fiscal 2012 second quarter. Net income for the fiscal 2013 second quarter was $15.7 million, down 23% when compared with net income of $20.5 million for the comparable period last year. Fully diluted earnings per share for the fiscal 2013 second quarter was $0.26, a 26% decrease from $0.35 for the fiscal 2012 second quarter. While revenues increased slightly in the quarter, we are moving forward by continuing to recognize the company in a manner to the better lines, with the changing healthcare information technology sector in which we now operator. This will allow us to further leverage our four business units throughout the marketplace, which includes Dental EDI, revenue cycle management services, hospital solutions, and ambulatory. To this end, thus far we have appointed a seasoned technology executive in Dan Morefield, who serve as our Chief Operating Officer. We restructured our sales and marketing functions to report to Gary Voydanoff, one of veteran senior sales executive and created a chief technology roll under Steve Puckett to consolidate our software development efforts. We believe these initiatives position the company to take advantage of future opportunities as the sector remains in the very early stages of not just EHR adoption but also healthcare reform and it prepares us for future accountable care modeling which is now evolving. Also, the Board of Directors declared a quarterly cash dividend of $0.175 per share on the company's outstanding shares of common stock payable to shareholders of record as of December 14, 2012 with an anticipated distribution date of January 4, 2013. The $0.175 per share dividend is consistent with the company's current policy to pay a regular quarterly dividend on the company's outstanding shares of common stock, subject to Board review and approval. In other views, we are proud to announce that Mark Davis was appointed to the Board of Directors effective October 25, 2012. Mark fills the seat vacated by Maureen Spivack, who resigned due to a conflict of interest relating to a new employment position she recently accepted. Mark will also be appointed to serve on the Board's Audit Committee and Transaction Committee. Davis is a Managing Director at B. Riley & Co, LLC, an investment firm specializing in research, sales trading and corporate finance. He brings more than 20 years of experience advising and financing technology companies, including software, cloud infrastructure and information technology firms, to the Quality Systems Board. In addition, he is a certified public accountant whose financial expertise and knowledge will provide beneficial acumen to the Board efforts. Previous, Mark served as the head of technology investment banking at Cantor Fitzgerald, managing director at Macquarie Capital, an Australian merchant and investment banking firm, and managing director as well as in other senior leadership roles at Citigroup. Earlier in his career, he was an Audit Senior with Price Waterhouse. He holds a Master's of Public Administration from Wharton at the University of Pennsylvania, and a Bachelors degree in Accounting from the University of Maryland. We welcome Mark to the Board. His two decades of experience advising and financing technology related businesses, coupled with his public accounting background, will provide the Board with insights and expertise in terms of technology and finance. We look forward to the guidance bring to Board and contributions he will make to the company, and the management team. Our strategy to capture significant opportunities for continued revenue and earnings growth in this marketplace is sound. We will continue to pursue significant opportunities to sell our electronic health record and complementary solutions. Industry estimates indicate that addressable market for EHR solutions is 40% for physicians and hospitals combined. We are only in the second year of government incentive payments to physicians and hospitals and we anticipate continued opportunity in this market as incentive payments drive further adoption. NextGen's Ambulatory ERH currently is 4th out of 400 competitors in Medicare attestations, and also ranks 4th in REC application of software showing our strength in enabling our customers to demonstrate meaningful use. As the government's requirements for achieving meaningful use and receiving incentive payments become ever more stringent, we believe the proven vendors like NextGen will separate from the pack as physician groups replace systems by vendors that simply cannot meet these requirements. We see significant potential for cross selling new solutions to our existing customer base and bundling multiple solutions for sale to our customers as well. Over the last several years we have established four business units led by experienced managers to provide focused leadership, to develop the business plans' technology infrastructure required to successfully introduce new complementary software and services. At the same time, we have worked to tightly integrate many of the new solutions with our existing software to further strengthen our ability to cross-sell within our existing customer base for each of our product lines and to win multi-solution deals with new customers. We announced the IASIS Healthcare had agreed to deploy our RCM services in its network of 19 hospitals across seven states. IASIS, which already had licensed our Ambulatory EHR Software, initially selected our Practice Management solution to enhance its financial work flows. But later decided to implement our RCM services in order to quickly and effectively roll out a new financial system across its enterprise. In addition, we announced a new agreement with Norton Sound, headquartered in Alaska, and we also announced the agreements with Southwest Community Health. These were multiproduct sells, which are starting to demonstrate our ability being effective and successful in these perspective areas. We seek to stay at the forefront of developing technology in our industry. In addition to ongoing enhancements of our core software products, we are developing and acquiring new technologies to capitalize on future growth opportunities and to support delivery models such as the emerging accountable care organization model. Examples of recently introduced enhancements and solutions our enhancements to our Ambulatory EHR solution provides physicians with automated outcome reporting, enhanced disease management capabilities, and a new user interface that can make the latest version of our EHR more intuitive and easier to use. Our new patient population management solution allows physicians to monitor patient compliance with treatment plans and to track, capture, and process revenue associated with proactive patient communication and care. Our performance management suite provides sophisticated self service analytics to help healthcare organizations meet required reporting needs for regulatory, clinical, and key financial performance indicators. Our NextGen solution which we’ve talked about in the past is an innovative digital pen device that quickly and accurately captures patient data for transfer to our Ambulatory EHR solution, eliminating paper entry and transcription costs while improving operational efficiency, another example of our innovation. Our NextGen mobile solution allows providers to access records and perform various services such as viewing and making appointments, documenting phone calls and updating components to the patient records from a variety of handheld devices. New surgical management enterprise solutions offered by our Hospital Solutions division enable hospitals to improve patient, resource, and staff management to increase capacity and efficiency of surgical operations. Our health information exchange is a highly secure data exchange and repository that enables electronic transfer of clinical information among disparate healthcare information systems within a region, community, or hospital. In addition to the currently available solutions, we are in the process of developing new Ambulatory, Hospital, and Dental software as a service offering that will rely on cloud based architecture and allow us to increase our recurring revenue base. QSI is at the forefront of enabling new healthcare delivery models such as ACOs, patient centered medical home, and of course fee for performance. Many of the new products and enhancements described above address growing demands of healthcare providers to be more effective in terms of the way they deliver care and improve outcome. We see opportunity to grow our RCM services business, as the industry seeks to reduce cost by outsourcing billing and collection activities. Management is actively looking to capitalize on the growth potential we see in this line of business in particular by extending our current RCM capabilities into the dental and hospital markets of which we are actively pursuing at this moment. With 9 acquisitions in the last 4 years, we continually evaluate acquisition opportunities of all sizes. A core part of our acquisition strategy is to use acquisitions to fill a strategic gap or kick start our entrée into newer business lines. For example, we recently acquired Matrix Management to expand our RCM offering and we acquired the Poseidon Group to expand the emergency department capabilities of our hospital solution customers. We also have considered and will continue to consider larger, more transformative transactions. Regardless of the transaction size, we will continue to focus on acquisitions that provide a strategic benefit to the company and make financial sense for our shareholders. Again, in the past four years we have made nine acquisitions that have helped grow the company and solidify its market position. At the same time, we have been disciplined in the pursuit of acquired businesses and have rejected acquisitions both large and small because they were strategically or culturally incompatible or not financially accretive. Acquisitions will continue to be an important part of our growth strategy. As we look ahead to capture growth opportunities, we’re working to achieve cost efficiencies that will increase our margins. Our expanding use of offshore capabilities, in particular for software development and other back office functions, is one example. Our growing technology innovation center in Bangalore, India currently employees more than 200 technologists and engineers, significantly increasing the breadth and efficiency of our product development expertise. International expansion is another area of focus that we have talked about in the past and our growth strategy is evidenced by our international opportunity that we developed with Dell and Puerto Rico Hospital. These initiatives will allow us to move towards the successful long term future in light of current changing market conditions. I’ll now turn it over to Paul and he will then turn it over to Dan. Paul?
 : Please note that the comments made on this call may include statements that are forward-looking within the meaning of securities laws, including without limitation, statements related to anticipated industry trends, the Company’s plans, products, perspective and strategies, preliminary and projected, and capital equity initiatives to the implementation of potential impacts of legal, regulatory and accounting principles. I’ll provide some opening comments and then turn it over to the team. Company reported a $116.1 million for the fiscal 2013 second quarter in terms of revenue, an increase of 8% versus a $107.6 million for fiscal 2012 second quarter. Net income for the fiscal 2013 second quarter was $15.7 million, down 23% when compared with net income of $20.5 million for the comparable period last year. Fully diluted earnings per share for the fiscal 2013 second quarter was $0.26, a 26% decrease from $0.35 for the fiscal 2012 second quarter. While revenues increased slightly in the quarter, we are moving forward by continuing to recognize the company in a manner to the better lines, with the changing healthcare information technology sector in which we now operator. This will allow us to further leverage our four business units throughout the marketplace, which includes Dental EDI, revenue cycle management services, hospital solutions, and ambulatory. To this end, thus far we have appointed a seasoned technology executive in Dan Morefield, who serve as our Chief Operating Officer. We restructured our sales and marketing functions to report to Gary Voydanoff, one of veteran senior sales executive and created a chief technology roll under Steve Puckett to consolidate our software development efforts. We believe these initiatives position the company to take advantage of future opportunities as the sector remains in the very early stages of not just EHR adoption but also healthcare reform and it prepares us for future accountable care modeling which is now evolving. Also, the Board of Directors declared a quarterly cash dividend of $0.175 per share on the company's outstanding shares of common stock payable to shareholders of record as of December 14, 2012 with an anticipated distribution date of January 4, 2013. The $0.175 per share dividend is consistent with the company's current policy to pay a regular quarterly dividend on the company's outstanding shares of common stock, subject to Board review and approval. In other views, we are proud to announce that Mark Davis was appointed to the Board of Directors effective October 25, 2012. Mark fills the seat vacated by Maureen Spivack, who resigned due to a conflict of interest relating to a new employment position she recently accepted. Mark will also be appointed to serve on the Board's Audit Committee and Transaction Committee. Davis is a Managing Director at B. Riley & Co, LLC, an investment firm specializing in research, sales trading and corporate finance. He brings more than 20 years of experience advising and financing technology companies, including software, cloud infrastructure and information technology firms, to the Quality Systems Board. In addition, he is a certified public accountant whose financial expertise and knowledge will provide beneficial acumen to the Board efforts. Previous, Mark served as the head of technology investment banking at Cantor Fitzgerald, managing director at Macquarie Capital, an Australian merchant and investment banking firm, and managing director as well as in other senior leadership roles at Citigroup. Earlier in his career, he was an Audit Senior with Price Waterhouse. He holds a Master's of Public Administration from Wharton at the University of Pennsylvania, and a Bachelors degree in Accounting from the University of Maryland. We welcome Mark to the Board. His two decades of experience advising and financing technology related businesses, coupled with his public accounting background, will provide the Board with insights and expertise in terms of technology and finance. We look forward to the guidance bring to Board and contributions he will make to the company, and the management team. Our strategy to capture significant opportunities for continued revenue and earnings growth in this marketplace is sound. We will continue to pursue significant opportunities to sell our electronic health record and complementary solutions. Industry estimates indicate that addressable market for EHR solutions is 40% for physicians and hospitals combined. We are only in the second year of government incentive payments to physicians and hospitals and we anticipate continued opportunity in this market as incentive payments drive further adoption. NextGen's Ambulatory ERH currently is 4th out of 400 competitors in Medicare attestations, and also ranks 4th in REC application of software showing our strength in enabling our customers to demonstrate meaningful use. As the government's requirements for achieving meaningful use and receiving incentive payments become ever more stringent, we believe the proven vendors like NextGen will separate from the pack as physician groups replace systems by vendors that simply cannot meet these requirements. We see significant potential for cross selling new solutions to our existing customer base and bundling multiple solutions for sale to our customers as well. Over the last several years we have established four business units led by experienced managers to provide focused leadership, to develop the business plans' technology infrastructure required to successfully introduce new complementary software and services. At the same time, we have worked to tightly integrate many of the new solutions with our existing software to further strengthen our ability to cross-sell within our existing customer base for each of our product lines and to win multi-solution deals with new customers. We announced the IASIS Healthcare had agreed to deploy our RCM services in its network of 19 hospitals across seven states. IASIS, which already had licensed our Ambulatory EHR Software, initially selected our Practice Management solution to enhance its financial work flows. But later decided to implement our RCM services in order to quickly and effectively roll out a new financial system across its enterprise. In addition, we announced a new agreement with Norton Sound, headquartered in Alaska, and we also announced the agreements with Southwest Community Health. These were multiproduct sells, which are starting to demonstrate our ability being effective and successful in these perspective areas. We seek to stay at the forefront of developing technology in our industry. In addition to ongoing enhancements of our core software products, we are developing and acquiring new technologies to capitalize on future growth opportunities and to support delivery models such as the emerging accountable care organization model. Examples of recently introduced enhancements and solutions our enhancements to our Ambulatory EHR solution provides physicians with automated outcome reporting, enhanced disease management capabilities, and a new user interface that can make the latest version of our EHR more intuitive and easier to use. Our new patient population management solution allows physicians to monitor patient compliance with treatment plans and to track, capture, and process revenue associated with proactive patient communication and care. Our performance management suite provides sophisticated self service analytics to help healthcare organizations meet required reporting needs for regulatory, clinical, and key financial performance indicators. Our NextGen solution which we’ve talked about in the past is an innovative digital pen device that quickly and accurately captures patient data for transfer to our Ambulatory EHR solution, eliminating paper entry and transcription costs while improving operational efficiency, another example of our innovation. Our NextGen mobile solution allows providers to access records and perform various services such as viewing and making appointments, documenting phone calls and updating components to the patient records from a variety of handheld devices. New surgical management enterprise solutions offered by our Hospital Solutions division enable hospitals to improve patient, resource, and staff management to increase capacity and efficiency of surgical operations. Our health information exchange is a highly secure data exchange and repository that enables electronic transfer of clinical information among disparate healthcare information systems within a region, community, or hospital. In addition to the currently available solutions, we are in the process of developing new Ambulatory, Hospital, and Dental software as a service offering that will rely on cloud based architecture and allow us to increase our recurring revenue base. QSI is at the forefront of enabling new healthcare delivery models such as ACOs, patient centered medical home, and of course fee for performance. Many of the new products and enhancements described above address growing demands of healthcare providers to be more effective in terms of the way they deliver care and improve outcome. We see opportunity to grow our RCM services business, as the industry seeks to reduce cost by outsourcing billing and collection activities. Management is actively looking to capitalize on the growth potential we see in this line of business in particular by extending our current RCM capabilities into the dental and hospital markets of which we are actively pursuing at this moment. With 9 acquisitions in the last 4 years, we continually evaluate acquisition opportunities of all sizes. A core part of our acquisition strategy is to use acquisitions to fill a strategic gap or kick start our entrée into newer business lines. For example, we recently acquired Matrix Management to expand our RCM offering and we acquired the Poseidon Group to expand the emergency department capabilities of our hospital solution customers. We also have considered and will continue to consider larger, more transformative transactions. Regardless of the transaction size, we will continue to focus on acquisitions that provide a strategic benefit to the company and make financial sense for our shareholders. Again, in the past four years we have made nine acquisitions that have helped grow the company and solidify its market position. At the same time, we have been disciplined in the pursuit of acquired businesses and have rejected acquisitions both large and small because they were strategically or culturally incompatible or not financially accretive. Acquisitions will continue to be an important part of our growth strategy. As we look ahead to capture growth opportunities, we’re working to achieve cost efficiencies that will increase our margins. Our expanding use of offshore capabilities, in particular for software development and other back office functions, is one example. Our growing technology innovation center in Bangalore, India currently employees more than 200 technologists and engineers, significantly increasing the breadth and efficiency of our product development expertise. International expansion is another area of focus that we have talked about in the past and our growth strategy is evidenced by our international opportunity that we developed with Dell and Puerto Rico Hospital. These initiatives will allow us to move towards the successful long term future in light of current changing market conditions. I’ll now turn it over to Paul and he will then turn it over to Dan. Paul?
 : Please note that the comments made on this call may include statements that are forward-looking within the meaning of securities laws, including without limitation, statements related to anticipated industry trends, the Company’s plans, products, perspective and strategies, preliminary and projected, and capital equity initiatives to the implementation of potential impacts of legal, regulatory and accounting principles. I’ll provide some opening comments and then turn it over to the team. Company reported a $116.1 million for the fiscal 2013 second quarter in terms of revenue, an increase of 8% versus a $107.6 million for fiscal 2012 second quarter. Net income for the fiscal 2013 second quarter was $15.7 million, down 23% when compared with net income of $20.5 million for the comparable period last year. Fully diluted earnings per share for the fiscal 2013 second quarter was $0.26, a 26% decrease from $0.35 for the fiscal 2012 second quarter. While revenues increased slightly in the quarter, we are moving forward by continuing to recognize the company in a manner to the better lines, with the changing healthcare information technology sector in which we now operator. This will allow us to further leverage our four business units throughout the marketplace, which includes Dental EDI, revenue cycle management services, hospital solutions, and ambulatory. To this end, thus far we have appointed a seasoned technology executive in Dan Morefield, who serve as our Chief Operating Officer. We restructured our sales and marketing functions to report to Gary Voydanoff, one of veteran senior sales executive and created a chief technology roll under Steve Puckett to consolidate our software development efforts. We believe these initiatives position the company to take advantage of future opportunities as the sector remains in the very early stages of not just EHR adoption but also healthcare reform and it prepares us for future accountable care modeling which is now evolving. Also, the Board of Directors declared a quarterly cash dividend of $0.175 per share on the company's outstanding shares of common stock payable to shareholders of record as of December 14, 2012 with an anticipated distribution date of January 4, 2013. The $0.175 per share dividend is consistent with the company's current policy to pay a regular quarterly dividend on the company's outstanding shares of common stock, subject to Board review and approval. In other views, we are proud to announce that Mark Davis was appointed to the Board of Directors effective October 25, 2012. Mark fills the seat vacated by Maureen Spivack, who resigned due to a conflict of interest relating to a new employment position she recently accepted. Mark will also be appointed to serve on the Board's Audit Committee and Transaction Committee. Davis is a Managing Director at B. Riley & Co, LLC, an investment firm specializing in research, sales trading and corporate finance. He brings more than 20 years of experience advising and financing technology companies, including software, cloud infrastructure and information technology firms, to the Quality Systems Board. In addition, he is a certified public accountant whose financial expertise and knowledge will provide beneficial acumen to the Board efforts. Previous, Mark served as the head of technology investment banking at Cantor Fitzgerald, managing director at Macquarie Capital, an Australian merchant and investment banking firm, and managing director as well as in other senior leadership roles at Citigroup. Earlier in his career, he was an Audit Senior with Price Waterhouse. He holds a Master's of Public Administration from Wharton at the University of Pennsylvania, and a Bachelors degree in Accounting from the University of Maryland. We welcome Mark to the Board. His two decades of experience advising and financing technology related businesses, coupled with his public accounting background, will provide the Board with insights and expertise in terms of technology and finance. We look forward to the guidance bring to Board and contributions he will make to the company, and the management team. Our strategy to capture significant opportunities for continued revenue and earnings growth in this marketplace is sound. We will continue to pursue significant opportunities to sell our electronic health record and complementary solutions. Industry estimates indicate that addressable market for EHR solutions is 40% for physicians and hospitals combined. We are only in the second year of government incentive payments to physicians and hospitals and we anticipate continued opportunity in this market as incentive payments drive further adoption. NextGen's Ambulatory ERH currently is 4th out of 400 competitors in Medicare attestations, and also ranks 4th in REC application of software showing our strength in enabling our customers to demonstrate meaningful use. As the government's requirements for achieving meaningful use and receiving incentive payments become ever more stringent, we believe the proven vendors like NextGen will separate from the pack as physician groups replace systems by vendors that simply cannot meet these requirements. We see significant potential for cross selling new solutions to our existing customer base and bundling multiple solutions for sale to our customers as well. Over the last several years we have established four business units led by experienced managers to provide focused leadership, to develop the business plans' technology infrastructure required to successfully introduce new complementary software and services. At the same time, we have worked to tightly integrate many of the new solutions with our existing software to further strengthen our ability to cross-sell within our existing customer base for each of our product lines and to win multi-solution deals with new customers. We announced the IASIS Healthcare had agreed to deploy our RCM services in its network of 19 hospitals across seven states. IASIS, which already had licensed our Ambulatory EHR Software, initially selected our Practice Management solution to enhance its financial work flows. But later decided to implement our RCM services in order to quickly and effectively roll out a new financial system across its enterprise. In addition, we announced a new agreement with Norton Sound, headquartered in Alaska, and we also announced the agreements with Southwest Community Health. These were multiproduct sells, which are starting to demonstrate our ability being effective and successful in these perspective areas. We seek to stay at the forefront of developing technology in our industry. In addition to ongoing enhancements of our core software products, we are developing and acquiring new technologies to capitalize on future growth opportunities and to support delivery models such as the emerging accountable care organization model. Examples of recently introduced enhancements and solutions our enhancements to our Ambulatory EHR solution provides physicians with automated outcome reporting, enhanced disease management capabilities, and a new user interface that can make the latest version of our EHR more intuitive and easier to use. Our new patient population management solution allows physicians to monitor patient compliance with treatment plans and to track, capture, and process revenue associated with proactive patient communication and care. Our performance management suite provides sophisticated self service analytics to help healthcare organizations meet required reporting needs for regulatory, clinical, and key financial performance indicators. Our NextGen solution which we’ve talked about in the past is an innovative digital pen device that quickly and accurately captures patient data for transfer to our Ambulatory EHR solution, eliminating paper entry and transcription costs while improving operational efficiency, another example of our innovation. Our NextGen mobile solution allows providers to access records and perform various services such as viewing and making appointments, documenting phone calls and updating components to the patient records from a variety of handheld devices. New surgical management enterprise solutions offered by our Hospital Solutions division enable hospitals to improve patient, resource, and staff management to increase capacity and efficiency of surgical operations. Our health information exchange is a highly secure data exchange and repository that enables electronic transfer of clinical information among disparate healthcare information systems within a region, community, or hospital. In addition to the currently available solutions, we are in the process of developing new Ambulatory, Hospital, and Dental software as a service offering that will rely on cloud based architecture and allow us to increase our recurring revenue base. QSI is at the forefront of enabling new healthcare delivery models such as ACOs, patient centered medical home, and of course fee for performance. Many of the new products and enhancements described above address growing demands of healthcare providers to be more effective in terms of the way they deliver care and improve outcome. We see opportunity to grow our RCM services business, as the industry seeks to reduce cost by outsourcing billing and collection activities. Management is actively looking to capitalize on the growth potential we see in this line of business in particular by extending our current RCM capabilities into the dental and hospital markets of which we are actively pursuing at this moment. With 9 acquisitions in the last 4 years, we continually evaluate acquisition opportunities of all sizes. A core part of our acquisition strategy is to use acquisitions to fill a strategic gap or kick start our entrée into newer business lines. For example, we recently acquired Matrix Management to expand our RCM offering and we acquired the Poseidon Group to expand the emergency department capabilities of our hospital solution customers. We also have considered and will continue to consider larger, more transformative transactions. Regardless of the transaction size, we will continue to focus on acquisitions that provide a strategic benefit to the company and make financial sense for our shareholders. Again, in the past four years we have made nine acquisitions that have helped grow the company and solidify its market position. At the same time, we have been disciplined in the pursuit of acquired businesses and have rejected acquisitions both large and small because they were strategically or culturally incompatible or not financially accretive. Acquisitions will continue to be an important part of our growth strategy. As we look ahead to capture growth opportunities, we’re working to achieve cost efficiencies that will increase our margins. Our expanding use of offshore capabilities, in particular for software development and other back office functions, is one example. Our growing technology innovation center in Bangalore, India currently employees more than 200 technologists and engineers, significantly increasing the breadth and efficiency of our product development expertise. International expansion is another area of focus that we have talked about in the past and our growth strategy is evidenced by our international opportunity that we developed with Dell and Puerto Rico Hospital. These initiatives will allow us to move towards the successful long term future in light of current changing market conditions. I’ll now turn it over to Paul and he will then turn it over to Dan. Paul?
 : Please note that the comments made on this call may include statements that are forward-looking within the meaning of securities laws, including without limitation, statements related to anticipated industry trends, the Company’s plans, products, perspective and strategies, preliminary and projected, and capital equity initiatives to the implementation of potential impacts of legal, regulatory and accounting principles. I’ll provide some opening comments and then turn it over to the team. Company reported a $116.1 million for the fiscal 2013 second quarter in terms of revenue, an increase of 8% versus a $107.6 million for fiscal 2012 second quarter. Net income for the fiscal 2013 second quarter was $15.7 million, down 23% when compared with net income of $20.5 million for the comparable period last year. Fully diluted earnings per share for the fiscal 2013 second quarter was $0.26, a 26% decrease from $0.35 for the fiscal 2012 second quarter. While revenues increased slightly in the quarter, we are moving forward by continuing to recognize the company in a manner to the better lines, with the changing healthcare information technology sector in which we now operator. This will allow us to further leverage our four business units throughout the marketplace, which includes Dental EDI, revenue cycle management services, hospital solutions, and ambulatory. To this end, thus far we have appointed a seasoned technology executive in Dan Morefield, who serve as our Chief Operating Officer. We restructured our sales and marketing functions to report to Gary Voydanoff, one of veteran senior sales executive and created a chief technology roll under Steve Puckett to consolidate our software development efforts. We believe these initiatives position the company to take advantage of future opportunities as the sector remains in the very early stages of not just EHR adoption but also healthcare reform and it prepares us for future accountable care modeling which is now evolving. Also, the Board of Directors declared a quarterly cash dividend of $0.175 per share on the company's outstanding shares of common stock payable to shareholders of record as of December 14, 2012 with an anticipated distribution date of January 4, 2013. The $0.175 per share dividend is consistent with the company's current policy to pay a regular quarterly dividend on the company's outstanding shares of common stock, subject to Board review and approval. In other views, we are proud to announce that Mark Davis was appointed to the Board of Directors effective October 25, 2012. Mark fills the seat vacated by Maureen Spivack, who resigned due to a conflict of interest relating to a new employment position she recently accepted. Mark will also be appointed to serve on the Board's Audit Committee and Transaction Committee. Davis is a Managing Director at B. Riley & Co, LLC, an investment firm specializing in research, sales trading and corporate finance. He brings more than 20 years of experience advising and financing technology companies, including software, cloud infrastructure and information technology firms, to the Quality Systems Board. In addition, he is a certified public accountant whose financial expertise and knowledge will provide beneficial acumen to the Board efforts. Previous, Mark served as the head of technology investment banking at Cantor Fitzgerald, managing director at Macquarie Capital, an Australian merchant and investment banking firm, and managing director as well as in other senior leadership roles at Citigroup. Earlier in his career, he was an Audit Senior with Price Waterhouse. He holds a Master's of Public Administration from Wharton at the University of Pennsylvania, and a Bachelors degree in Accounting from the University of Maryland. We welcome Mark to the Board. His two decades of experience advising and financing technology related businesses, coupled with his public accounting background, will provide the Board with insights and expertise in terms of technology and finance. We look forward to the guidance bring to Board and contributions he will make to the company, and the management team. Our strategy to capture significant opportunities for continued revenue and earnings growth in this marketplace is sound. We will continue to pursue significant opportunities to sell our electronic health record and complementary solutions. Industry estimates indicate that addressable market for EHR solutions is 40% for physicians and hospitals combined. We are only in the second year of government incentive payments to physicians and hospitals and we anticipate continued opportunity in this market as incentive payments drive further adoption. NextGen's Ambulatory ERH currently is 4th out of 400 competitors in Medicare attestations, and also ranks 4th in REC application of software showing our strength in enabling our customers to demonstrate meaningful use. As the government's requirements for achieving meaningful use and receiving incentive payments become ever more stringent, we believe the proven vendors like NextGen will separate from the pack as physician groups replace systems by vendors that simply cannot meet these requirements. We see significant potential for cross selling new solutions to our existing customer base and bundling multiple solutions for sale to our customers as well. Over the last several years we have established four business units led by experienced managers to provide focused leadership, to develop the business plans' technology infrastructure required to successfully introduce new complementary software and services. At the same time, we have worked to tightly integrate many of the new solutions with our existing software to further strengthen our ability to cross-sell within our existing customer base for each of our product lines and to win multi-solution deals with new customers. We announced the IASIS Healthcare had agreed to deploy our RCM services in its network of 19 hospitals across seven states. IASIS, which already had licensed our Ambulatory EHR Software, initially selected our Practice Management solution to enhance its financial work flows. But later decided to implement our RCM services in order to quickly and effectively roll out a new financial system across its enterprise. In addition, we announced a new agreement with Norton Sound, headquartered in Alaska, and we also announced the agreements with Southwest Community Health. These were multiproduct sells, which are starting to demonstrate our ability being effective and successful in these perspective areas. We seek to stay at the forefront of developing technology in our industry. In addition to ongoing enhancements of our core software products, we are developing and acquiring new technologies to capitalize on future growth opportunities and to support delivery models such as the emerging accountable care organization model. Examples of recently introduced enhancements and solutions our enhancements to our Ambulatory EHR solution provides physicians with automated outcome reporting, enhanced disease management capabilities, and a new user interface that can make the latest version of our EHR more intuitive and easier to use. Our new patient population management solution allows physicians to monitor patient compliance with treatment plans and to track, capture, and process revenue associated with proactive patient communication and care. Our performance management suite provides sophisticated self service analytics to help healthcare organizations meet required reporting needs for regulatory, clinical, and key financial performance indicators. Our NextGen solution which we’ve talked about in the past is an innovative digital pen device that quickly and accurately captures patient data for transfer to our Ambulatory EHR solution, eliminating paper entry and transcription costs while improving operational efficiency, another example of our innovation. Our NextGen mobile solution allows providers to access records and perform various services such as viewing and making appointments, documenting phone calls and updating components to the patient records from a variety of handheld devices. New surgical management enterprise solutions offered by our Hospital Solutions division enable hospitals to improve patient, resource, and staff management to increase capacity and efficiency of surgical operations. Our health information exchange is a highly secure data exchange and repository that enables electronic transfer of clinical information among disparate healthcare information systems within a region, community, or hospital. In addition to the currently available solutions, we are in the process of developing new Ambulatory, Hospital, and Dental software as a service offering that will rely on cloud based architecture and allow us to increase our recurring revenue base. QSI is at the forefront of enabling new healthcare delivery models such as ACOs, patient centered medical home, and of course fee for performance. Many of the new products and enhancements described above address growing demands of healthcare providers to be more effective in terms of the way they deliver care and improve outcome. We see opportunity to grow our RCM services business, as the industry seeks to reduce cost by outsourcing billing and collection activities. Management is actively looking to capitalize on the growth potential we see in this line of business in particular by extending our current RCM capabilities into the dental and hospital markets of which we are actively pursuing at this moment. With 9 acquisitions in the last 4 years, we continually evaluate acquisition opportunities of all sizes. A core part of our acquisition strategy is to use acquisitions to fill a strategic gap or kick start our entrée into newer business lines. For example, we recently acquired Matrix Management to expand our RCM offering and we acquired the Poseidon Group to expand the emergency department capabilities of our hospital solution customers. We also have considered and will continue to consider larger, more transformative transactions. Regardless of the transaction size, we will continue to focus on acquisitions that provide a strategic benefit to the company and make financial sense for our shareholders. Again, in the past four years we have made nine acquisitions that have helped grow the company and solidify its market position. At the same time, we have been disciplined in the pursuit of acquired businesses and have rejected acquisitions both large and small because they were strategically or culturally incompatible or not financially accretive. Acquisitions will continue to be an important part of our growth strategy. As we look ahead to capture growth opportunities, we’re working to achieve cost efficiencies that will increase our margins. Our expanding use of offshore capabilities, in particular for software development and other back office functions, is one example. Our growing technology innovation center in Bangalore, India currently employees more than 200 technologists and engineers, significantly increasing the breadth and efficiency of our product development expertise. International expansion is another area of focus that we have talked about in the past and our growth strategy is evidenced by our international opportunity that we developed with Dell and Puerto Rico Hospital. These initiatives will allow us to move towards the successful long term future in light of current changing market conditions. I’ll now turn it over to Paul and he will then turn it over to Dan. Paul?
Paul A. Holt: Thanks, Steve, and hello everyone. Our consolidated September quarter revenue growth of 8% was driven by 20% growth in service revenue category, partially offset by a 15% decline in system sales revenue. As Steve mentioned, we remain confident in the company’s opportunities moving forward beyond meaningful use. We are also seeing opportunities at a growing replacement market as lower tier vendors grapple with the expanded requirements of meaningful use. We also are pursuing opportunities to expand our relationships with our payer customers, who are also acquiring medical practices and becoming our customers. Our earnings per share declined by 26% to $0.26 versus $0.35 a year ago. Profitability was negatively impacted by a decline in software license revenue compared to the prior year, as well as higher SG&A expenses. I’d also note that we recorded $1.3 million in amortization expense related to intangible assets versus $0.5 million a year ago. We are pleased with our growth in services revenue categories including maintenance, RCM and EDI which grew 20% on a year-over-year basis to $83.9 million versus $69.7 million a year ago. I’d also note that other services revenue which includes subscription, SaaS and hosting services grew 38% to $15.6 million over the prior year $13.3 million. Our recurring revenue as a percentage of total revenue represented approximately 68% of total revenue this quarter versus 61% a year ago. We remain very positive about our opportunity to continue to grow these revenue streams by cross selling into our expanding customer base, as well as the new customers. Monte and Donn will provide more details on their comments. Our total systems sales revenue declined by 15% on a year-over-year basis, due to the decline in software and hardware revenues which declined by $8.2 million to $23.7 million versus $31.9 million a year ago. This decline was partially offset by higher implementation services revenue which increased 40% to $8.5 million compared to $6.1 million a year ago. Our consolidated gross profit margin this quarter came in at approximately 60% versus 66.5% in the same quarter last year. Our gross margin percentage declined primarily due to comparatively lower amount of high margin software revenue and a change in revenue mix towards lower margin implementation and other services revenue. Our SG&A expense excluding amortization increased by approximately $5.6 million to $37.8 million compared to $32.2 million a year ago. This increase was primarily driven by various acquisitions that we’ve made during the course of the year as well as additional headcount and other expenses. We’ll continue to review our planned expenditures moving forward in light of our recent results to ensure that we’re efficient and prudent with our spending. R&D spend declined 15% to $6.3 million, compared to the prior year quarter. Our decreased R&D spend was primarily due to set up investments and development projects being capitalized. Investments in capitalized software development grew to $6.3 million in the quarter versus $3.6 million a year ago. Our effective tax rate this quarter came in at approximately 36% versus the prior year 34.9%. Our current period tax rate was higher primarily due to the fact that we are not including any R&D tax credit as it lapsed in December of 2011. If Congress reinstates that R&D tax credit, we will be able to take that as a benefit, but that has not happened as of late. Now, I’m going to turn it over to our segment revenue and operating income performance for the September quarter. Note that these operating income results do not include the allocation of corporate expenses. NextGen Ambulatory revenue was $87.3 million, which up 6% over the prior year. NextGen Ambulatory operating income $33.9 million, that’s down 1% over the prior year. QSI Dental revenue is $4.8 million up 7% over the prior year, and operating income $0.7 million up 10% over the prior year. Hospital Solutions revenue $8.2 million, down slightly 3% over the prior year, and operating income was a loss of $1.2 million. I would note that the hospital division results were negatively impacted of certain one time events related to the timing of revenue recognition and certain credits that we took in the quarter. RCM Services revenue $15.8 million, up 30% over the prior year. RCM operating income $1.8 million and it was up 63% over the prior year. Moving on to our balance sheet, we ended the quarter with $122 million in cash and marketable securities equivalent to $2.05 per share. This is down from $139.4 million or $2.36 per share at the start of the fiscal year. Note that in the last two quarters, we paid out approximately $10.1 million related to acquisitions including purchase of intellectual property, as well as – we also increased our investment in capitalized software development to $11.1 million versus $6.1 million in the same six-month period last year. We’ve also prepaid certain income tax payment demonstrated by the $6.1 million prepaid income tax balance on our balance sheet. Our gross DSOs declined by eight days compared to the prior year at 119 days versus 127 days a year ago. And also our current portion of deferred revenue declined slightly to $68 million compared to $70.7 million last quarter. And then for those of you are tracking this, I’m going to report our non-cash expenses, which breakdown as follows. Amortization of capitalized software $2.4 million. Amortization of intangible assets $2.0 million. Total depreciation expense $1.8 million. Stock compensation expense $0.4 million. Investing activities for the quarter, internally generated capitalized software including the purchase of the intellectual property $9.8 million and fixed assets $1.5 million. So I'd like to thank you all for being on our call and your interest in our company and I’m going to turn things over to Dan Morefield. You are welcome.
Daniel J. Morefield: Thanks, Paul. And hello to everyone on the call, we are pleased to report NextGen ambulatory year-to-year growth of approximately 6%. In addition we are pleased to announce that our service revenue grew 21% due to solid execution of our cross selling efforts in EDI, annual licenses, subscriptions, postings and other service offerings. We are also happy to report that the pilot program with Hanger is going well. We expect the pilot to expand later this year, and hope to be in a position for a fuller implementation sometime, next year. Now for a few of our quarterly operating metrics that we normally report on this call. The company executed 117 arrangements on a consolidated basis versus a 112 last quarter. Of the new arrangements 73% were Greenfield and the rest were replacements. We executed 44 SaaS agreements during the quarter, which are included in the total 117 arrangements. Discounting did not materially change in the quarter, as of 930 there are 112 quota carrying sales and management positions, slightly less than the prior quarter of 116 quota carrying sales and management positions. The pipeline is currently approximately a $140 million, slightly down from last quarter to $150 million. That includes Ambulatory, RCM and inpatient. I’d like to thank all of you, our clients and our staff who continue to work extremely hard as we pursue multiple opportunities and challenges across the industry. With that, I'm going to turn it over to Don.
Donn Neufeld: Thank you, Dan. We had continued success selling NextGen Electronic Dental Record with the NextGen EHR and EPM adding seven new joint clients in the quarter. We recently released a major upgrade to our dental soft product for commercial dental groups bringing the extensive features of our client server charting to the cloud. The QSI Dental pipeline is approximately $6.7 million. NextGen EDI had record revenues and income in Q2. We saw solid revenue growth in our core products of clients and statements and continued acceptance of our newer offerings across all business unit. I'll now turn things over to Steve Puckett. Steve?
Steve Puckett: Thanks, Don. The Hospital Solutions Division sold another six hospitals this past quarter including two new specialty hospitals. We also had add-on sales of both our surgical product suite and new emergency department system, which is a nice trend we start seeing. This past quarter, we see our customer base growing past the 200 hospital mark, and as I mentioned before most of the non-specialty hospitals purchased our ambulatory product suite as well. As I commented on the last call, especially hospitals are a great match for our product portfolio and provide us opportunity to expand into urban and metropolitan markets. I commented also that we had signed a corporate network of surgical facilities allowing expansion to over 25 states. We executed on this plan and we added two new surgical clients that I talked about earlier. These clients also give us an opportunity to grow our products richer in new features that are important to these markets, which include cost performance analysis tools. This past quarter contains some unique one time events that negatively affected our previously strong performance record. This impacted our implementation and training revenue for the current quarter as well as that impact to our maintenance numbers. However, we are extremely proud of our live clinical hospitals who have not only installed NextGen clinical, but that’s a majority some 80% now in accounting have attested to meaningfully use stage one. This is always a team effort between the client and ourselves and we look forward to recognizing this joint achievement at our upcoming User Group Meeting next month.
 : Thanks for your time and attention, and now I like to turn it over to Monte Sandler.
 : Thanks for your time and attention, and now I like to turn it over to Monte Sandler.
Monte L. Sandler: Thanks, Steve. Good morning everyone. RCM services revenue for the second quarter was $15.8 million, representing a 30% growth over the prior year quarter. We continue to improve operating margin through revenue enhancement and cost reduction initiatives lead in large product to our best practice methodology that is laser focused on continuous improvement of service delivery to our customers. As reported, operating income grew 63% over the same period last year. We signed several new deals during the quarter driven by our ability to help our customers optimize revenue and maximize the use of our products. Our backlog have signed deals not fully implemented remained strong and our sales pipeline is yet again the highest it has been today, thanks in large part to our growing sales team and renewed sales focus. We continue to see the practices or concern about our financial future as a result of pressures from the pending SGR cuts in November elections, ACA reforms and ICD10 to name a few. Our tailored RCM services driven by people, process and technology make us a great solution to help providers position themselves for future healthcare reimbursement models. I’m confident that we remain well positioned to help our providers navigate the changing environment and optimize their revenue cycle with our full service, all payer, best practice solution that’s built on NextGen’s industry leading software platform. Thank you for your time and interest in our company. Ron, we would like to take questions at this time. 
Operator: Thank you, ladies and gentleman, we will now conduct a question-and-answer session. (Operator Instructions) Your first question comes from Greg Bolan from Sterne, Agee. Please go ahead. 
Gregory T. Bolan – Sterne Agee & Leach Inc.: Hey thanks guys, so Paul is it safe to say NextGen maintenance revenues were flat on a sequential basis?
Paul A. Holt: No. 
Gregory T. Bolan – Sterne Agee & Leach Inc.: Okay, then how should we think about maintenance revenues going forward because they did obviously slow quite significantly this quarter?
Paul A. Holt: Yeah, we had a couple of, I would call more a one-time event, I don’t want to get into, I’m not going to get into further details in that, but, I also want to point out like I’ve done in prior, prior periods that where do you want to look at is the year-over-year discussion because there will be some noise around that maintenance number quarter-to-quarter when you’re looking at it just sequentially.
Gregory T. Bolan – Sterne Agee & Leach Inc.: Okay and may be just a lead on question and I think can you share with us maybe quite turn over at this point. How significant has net turnover picked up as of late or hasn’t?
Paul A. Holt: I have not noted a significant amount of turnover in our maintenance numbers if that’s where you’re going.
Greg Bolan – Sterne, Agee: Okay. And then how should we think about the dividend policy here I mean has the board considered switching over to a concentrated stock buyback effort?
Steven T. Plochocki: This is Steve, the dividend policy as of now will continue. The board has not considered a buyback policy, we have at the present time a number of NDAs out there in terms of potential acquisitions and we feel that the, in order to prepare the company for the future, because we still believe that the healthcare reform and EHR movement is in its beginning stages, it’s a better use of cash and better use of our funds to make investments and acquisitions which would give the shareholder a much better return over time. So we, our policies right now at this point in time are not looking to change.
Greg Bolan – Sterne, Agee: And is the parameters, it sounds like the leverage would be considered which is a little bit outside the parameters that you discussed in the past. But in terms of financial impact the goal would be to be accretive over the next say 12 months, is that still kind of in the same parameter? Steve.
Steven T. Plochocki: You mean under if we do an acquisition?
Greg Bolan – Sterne, Agee: Yes, correct.
Steven T. Plochocki: Yes, that’s always a goal.
Greg Bolan – Sterne, Agee: Okay.
Steven T. Plochocki: Absolutely always a goal, however, there are some strategic opportunities that may supersede the 12 month accretive initiative. But accretion is always what we are looking for in the first 12-months, it’s always been one of our guidelines. And quite honestly the deals we are looking at right now would be accretive in that first 12-month period.
Greg Bolan – Sterne, Agee: Okay, that’s great. Thanks Steve.
Steven T. Plochocki: You bet.
Operator: Your next question comes from Ricky Goldwasser from Morgan Stanley. Please go ahead.
Ricky Goldwasser – Morgan Stanley & Co. LLC: Good morning. As a follow-up to the last question, can you just explain to us, what’s the limit you would be interested in terms of acquisitions?
Steven Plochocki: Well, we have no dollar amount. We are essentially looking to – as we have always done to acquire businesses that supplement or complement our existing core, or can give us an entry into a new business line. And there is a number of deals we are looking at right now, but when the full gamut of the spectrum from small product base deals to revenue base deals of well established organization. So there, we are not holding ourselves to any kind of a standard along those lines.
Ricky Goldwasser – Morgan Stanley & Co. LLC: Okay. And can you give us little bit more color about what you’ve seen in the competitive environment this quarter?
Steven Plochocki: Well, I don’t know about this quarter. I will tell you in a competitive environment, there is a lot of initiatives in place. I think one of the most meaningful statements that was made, was made by the government is when they pushed out Stage 2 and ICD10 from a 2013 starting point to 2014. That translated to back to us in the market and I’m sure back to you. Of those 462 companies out there that are providing software under Stage 1 certification, there is a whole lot of them that aren’t going to meet the standards for Stage 2 or ICD10. The government is giving them an extra year to get there, but it’s our belief that many of them still won’t be able to achieve that. We believe that’s going to be an enormous replacement market for those of us, I would say, in the top 10 which we ranked four. Those of us in the top 10 to take advantage of that big replacement market that we think is right around the corner.
Ricky Goldwasser – Morgan Stanley & Co. LLC: Okay. And in terms of (inaudible) do you think that this will materialize 12 months to 18 months from now as we get closer to 14?
Donn E. Neufeld: Yeah, I am guessing you are going to start seeing an unfold pretty soon. There’s already been in the market, a number of the smaller competitors in our sector that are looking to be acquired or looking to partner, because they just simply don't have the capability in their development ranks to keep pace with stage 2 and stay in ICD10, and of course that we all know on the heels of the stage 2 and ICD10 will be stage 3 and ICD11. So it doesn’t get easier. It gets more difficult in the companies like us who have large installed basis. We have large maintenance income; I think a recurring base now falls about 68% or thereabout?
Steve K. Puckett: Yeah.
Donn E. Neufeld: And we can afford an infrastructure of development, not just here in the United States, as we talked about we have a large infrastructure of development capabilities in India of over 200 developers and engineers. It takes that type of strength in order to meet these standards.
Ricky Goldwasser – Morgan Stanley & Co. LLC: Okay, thank you.
Donn E. Neufeld: You bet.
Operator: Your next question comes from Charles Rhyee from Cowen and Company. Please go ahead.
Charles Rhyee – Cowen and Company, LLC: Yeah thanks. Steve, maybe going back, we look at this pipeline number. Now, I remember in the past when we were having when Stimulus was first introduced – HITECH was first introduced and there were some delays as we were waiting for the final rules to come out. At that time, our pipeline numbers still didn't really dropped as significantly as we’re seeing right now. Can you tell us what sort of different this time around, and how are you guys when you are sizing up the pipeline, is there any sort of change and how you’re looking at it, maybe if you could help us think about that a little bit and what do you see that trajectory going?
Steven Plochocki: Well, I think, yes, the pipeline has gone down. We think partially our market conditions, the high-end areas of the hospital and the high-end areas of group practices are certainly reaching the point of maturation in terms of their buying decisions. But I think the bigger piece for us is that in developing our four product lines, where RCM was developed through acquisitions in 2008 and came [after now] in 2010 and we put it together under Monte and then our preparation for a hospital solutions product, which began in 2009 and 2010 and was ready for 2011 under Steve Puckett, those areas now are operating well and they’re operating cleanly. And we believe that we’re going to be able to build our pipeline considerably under our new strategy as sales and marketing with Gary Voydanoff, where we're going to be doing more multiproduct and cross selling across the spectrum of the 112 sales people that we have. This is an initiative that we're just beginning now. As a matter of fact, those of you that come to our Analyst Day on November 5 in New York, they’re going to get a very good reading on that from Gary in terms for our sales organization. We believe that we’re going to be much better than our sales organization or going to be sell pipelines much faster and more substantively.
Charles Rhyee – Cowen and Company, LLC: Okay. And then maybe in terms of the sales pipeline here, as we think about the Dell partnership, can you talk about how much maybe that fits in the pipeline today, sort of how that’s developed so far and maybe remind us with the, how the economics work on that relationship?
Steven T. Plochocki: Yeah, Charles, there is nothing in the pipeline on Dell. As I have said in the past, mega deals and as matter of fact deals typically that fall under business development, which this would fall under our mega deal but they don't enter the pipeline. Dell is essentially a deal that we closed we were doing Panama, Puerto Rico right now is starting to roll out through the sales organizations out there at Puerto Rico hospital supply company and Dell and we are looking to go to additional countries Canada, Great Britain and others once we’ve established the partnerships with the distribution network in those countries. So again this is an early stage project we believe that has tremendous potential. But again it’s not going to pay dividends for us until probably the middle of next calendar year or the beginning of our fiscal year of 2014 fiscal year.
Charles Rhyee – Cowen and Company, LLC: Okay, great, thanks.
Steven T. Plochocki: You bet, thank you
Operator: Your next question comes from Michael Cherny from ISI. Please go ahead.
Michael Cherny – ISI Group: Good morning guys. So I just want to get back a little bit.
Steven T. Plochocki: Good morning.
Michael Cherny – ISI Group: So I sort of get back to a little bit competitive environment we see a lot of fluctuating deals between vendors and you talked a little bit about the replacement market taking hold when you go and you are pitching for the replacement deal kind of what the key metrics you are pushing on to allow that to your value proposition resonate with customer I guess on the other side have you seen any pressure in any of your installed base in terms of some competitors coming in and trying to potentially push you out.
Steven T. Plochocki: I think in the replacement area you will see push and pull everywhere, we’ve, like I said, about two-thirds of our deals were Greenfield and one-third were replacement. We don’t like to talk about the actual deal, for who we replaced but a lot of it is we believe is going to be the beginning of what I was talking about just a second ago is that the many of the providers, those 400 and some odd providers outside of the top 10 of us are starting to realize that they’re not going to have the infrastructure capability to meet the software development needs for new standards, and hence their group practices are starting to understand that, and that’s opening the door for replacement market.
Michael Cherny – ISI Group: Okay, and then, just quickly, obviously last quarter, you guys decided not to update the guidance number, it doesn’t look like you’re doing it here, in terms of the business visibility, what do you think it would take in terms of the next set of steps in order to give you an accessibility of potentially reconsider issuing guidance.
Steven T. Plochocki: Mike, we probably won’t issue guidance until we head into our next fiscal year, and there is several reasons for that, one of course is the market conditions are changing are rather dramatically, two we just came off of a tough proxy fight, we had a few officers that left the company, but the management team that we put together here with the 11 new executive committee members here at the management level, and the creation of Chief Operating Officer role, the consolidation of our sales and marketing organization under Gary Voydanoff, the consolidation of all of our development efforts under Steve Puckett, and then our business development effort is also being consolidated across the board under Ike Ellison. These all are people you’re going to hear from at the Analyst Day on November 5. We have an entirely new operating structure here at the company and we are bringing things together quickly. But we are also doing it under market conditions that are starting to see just a bit of a deceleration in this sector simply based on some high end penetration rate. So we’ve got a lot going on, I view it all as extremely positive. As a matter of fact, I‘ve been around a long time and running companies for 38 years and I’m extremely confident in this executive team. The collegiality, our ability to work together and the initiatives we’re embarking upon I believe are going to be a great long-term benefit to the shareholders.
Michael Cherny – ISI Group: Thanks.
Steven T. Plochocki: Thank you, Mike.
Operator: Your next question comes from Ryan Daniel from William Blair. Please go ahead.
Andrew O'Hara – William Blair & Co. LLC: Hey guys, Andrew O'Hara in for Ryan this morning. Quick question, last quarter you guys indicated that some of the uncertainty around the Stage 2 regulations where causing a pause in client activity. Have you guys seen uptick at all sort of following the Stage 2 final rule?
Steven Plochocki: Well, Andy, the Stage 2 delay of course doesn’t help. There is probably a laundry list of a dozen reasons why this is ahead of a slowdown, that’s one of them. When you give anybody an extra year to make a decision on something many of them take it. To what degree that’s causing a slowdown out there is very difficult to tell, but it slowdown out there is bit of a slowdown. You’ve got the letters that have gone out from the GLP to Kathleen Sebelius about ceasing the payment system under the stimulus; under meaningful use, you got an election that’s going to take place within what – will be on 12 days, 10 days now or whatever. So there is a lot of areas that I think are creating a bit of a pause as we roll forward, and phase 2 and ICD10 delay, I think is certainly a significant piece of that.
Andrew O'Hara – William Blair & Company LLC.: That's helpful. And then you mentioned ICD10, I was wondering when you guys sort of expect ICD10 to kind of meaningful driver client activity, and then coming to follow on there, how important is ICD10 than in your RCM related conversations lately?
Monte L. Sandler: Well from an RCM perspective, this is Monte, yeah, we see it as a significant opportunity. There’s lot of pressures on the providers today whether it'd be meaningful use adoption and attestation pending ICD10, things that are requiring their attention, which gives us the opportunity in RCM to focus on the transactional part of their business in which we’re experts, and allows providers to focus on the things that they need to focus on. We’re actually – we will announce soon a new partnership that was that speaks to ICD10 and what we think the opportunity creates for us in the marketplace and how we can add value to our customers, and continue to bring our service offerings that allow them again to focus on the things around EHR adoption meaningful use attestation, and allow us to help them optimize the revenue cycle. So those are some of the things that we're doing – we see opportunity with it, and we’ll be announcing shortly some exciting stuff that I think to be interested in.
Andrew O'Hara – William Blair & Company LLC.: Okay. Great, helpful. Thank you.
Monte L. Sandler: Thank you, Andy.
Operator: Your next question comes from Eric Coldwell from Baird. Please go ahead.
Eric Coldwell – Robert W. Baird & Co: Thanks and good morning. First question, Steve at our conference a month ago, we talked about Health Management Associates they said that are large portion of the physicians would stick with you and told you as much. And then HMA’s management actually verified what you said at the end of your presentation, however last week, (inaudible) came back and said that they have the highest close rate in their history, when they are meeting with the HMA physician. So I guess, I'm just asking again, how do we true up all of these comments and can you give us an update on what’s going on with HMA?
Donn E. Neufeld: Well, I think of you, again, I will go back to what we have said, because you are right as the conference we’ve talked about that and then the HMA people followed me on the stage and confirmed that all. HMA is the consortium of about 1200 owned and affiliated doctors. And we were working with about 400 of them on the EHR side and near 500 of them on the RCM side. And so they were still a lot of doctors affiliated to known that weren’t working with us. So that's fair game for anyone, and this probably going to be some basis of conversion there. So I mean, it’s a mixed bag and difficult to tell us at this point in time.
Monte L. Sandler: Yeah, this is Monte. We are continuing to work with HMA management. RCM continues to have a good relationship with them, and we're very focused on continuing to help them achieve their goals. And so our performance continues to be strong, and we will continue to help then navigate through this process, regardless of what the mix of business looks like. And we’ll see how it all place out, but we are continuing to be committed to HMA and continuing to help them optimize the revenue, I mean that's really our focus?
Eric Coldwell – Robert W. Baird & Co: Okay, let me just jump in switch gears for a second. Deferred revenue was come down about 25% in the last nine months, and I’m just curious, there is some more to that in terms of the mix of contracting or anything else that would explain the change or is it really just the fact that the pipeline is coming about and your new sales have weakened so you are burning through past deals and you haven’t been able to replace that to refill the deferred revenue, if you just give me some color on what's going on there would be helpful?
Paul A. Holt: Yeah, this is Paul. Last couple of quarters ago we talked about, a change in our contracting and how we were, we modified some of the payment terms around services. And that meant that we would not record deferred service revenue, for services that are going to be paid for on a [T&M] or as used basis. So that has contributed partially to the drop in deferred revenue. So you have to keep that in mind when you're looking at that. So it is a combination of both the fact that we are not putting up our receivable and deferred revenue on certain pretty big amount of our contracts going forward, as well as the other issues, that we’ve seen in the system sales line.
Eric Coldwell – Robert W. Baird & Co: Got it, that's what I was thinking Paul, and I'm just curious if you could quantify that change for us at this point. I wasn't sure, if it would be relevant by now but it seems like it is becoming relevant.
Paul A. Holt: Yeah, let me get back to you on that and see if we can have something our 10-Q, that's going to be filed shortly.
Eric Coldwell – Robert W. Baird & Co: Great, thanks. I will jump out for now.
Operator: Your next question comes from George Hill from Citigroup. Please go ahead.
George Hill – Citigroup: Good morning. And I appreciate you guys taken the questions. Paul, maybe I will start with the housekeeping item. A capitalized software seem to spike on very much sequentially I guess can we talk about what drove that and would you guys estimate close to earnings there?
Paul A. Holt: Well, what drove that was stepped up investments in our development projects, we've got some major projects that are underway, and are appropriate to be capitalized. So I think, I would take that as increased investment on the part of the company, and in terms of you can do the math on what that means to our financials just take what we've capitalized in the quarter, and take out what we amortized. So I gave those numbers out earlier on the call, we capitalized approximately $6.8 million and amortized $2.4 million.
George Hill – Citigroup: Okay. And I mean maybe just a little more color, I mean that’s like a, you said, you capitalized $6.8 million?
Paul A. Holt: Yes.
George Hill – Citigroup: Okay. So therefore I mean that's a doubling of this historic rate, I'm trying to figure out like can you give us some color on like what's being developed or what the product like what's going into that number?
Paul A. Holt: Where you’ve got number of areas, so you have, we have a lot of investment going into our templates, which are specialties, specializing in various specialties medicines, and that's very significant. And then you have some other projects that we’ve been working on that are very significant to us that our future type stuff. That is the stuff that we, it’s more a long term in nature, and we're going to be talking little bit more about that when we get to our user group meeting as well, and I think Steve, you might add some color to that?
Steve K. Puckett: Yeah, this is Steve Puckett, I can tell you, on a previous call maybe been the last one too, we’ve been mentioning to a next generation of NextGen solutions and that is something we continue to invest in. We talked about that as a single database and a web base solution and so we’ve mentioned that on numerous calls before, but that project has been ongoing for about a year and a half and it continues to do well and that is we are basically listening to the clients, listening to the market and producing that product. So as Paul mentioned, we will be talking a little about at user group going ahead, to. So…
George Hill – Citigroup: Okay. So I appreciate the color there. And then Steve kind of two strategic questions for you. Number one, you’re talking about the M&A pipeline and how robust it is and how you guys are open to deals of all sizes. So my first question is, if you look at the history of companies in this space, it has been highly acquisitive, it is not a distinguished track record. So I guess first can you tell me, what should give investors confidence that you guys can execute this business. I’d say better than anybody else. And then from a market perspective, I would say from the position that we fit in, if you look at the class goers, if you want to look at the meaningful use rankings, you guys are the fourth or fifth ranked ambulatory product, it tends to be a high cost provider. We generally perceived as having a high upfront investment, which would explain the deterioration in the sales pipeline, how do you, I mean there is, you guys from my perspective you’re seeing at a distinct competitive disadvantage how do you remedy that situation and so the M&A question and the competitive situation and then I will hop off. Thank you.
Steven T. Plochocki: Well, first, on the M&A front, as I said, we have done nine acquisitions in four years granted it was smaller, we were able to well manage the integration and synergies in those acquisitions bringing them into our system, and start making them contributors to our overall growth. You’re correct, you’re correct in the sense that a lot of large acquisitions don’t pay off. And so that’s why I said and qualified in our statement this morning that we would consider something larger but it would have to meet in the long, laundry list of standards for us and be a tremendous strategic advantage for us in an early stage our new sector are something that we can really cross-sell rapidly into our organization to make that pay off. So yes, the bottom line is make the right decision, don't be reckless, make the right decision, I’ll make sure you can implement and execute on the synergies and translate it into shareholder value, so we haven’t made that mistake in our entire history in terms of acquisitions and I can tell you our discipline is quite stringent, we do a lot of due-diligence, we have the transaction committee at the board level that is actively involved and – but there is always a little bit of risk. Always little bit of risk, when you’re doing something like that. In terms of the software we ranked fourth, yes you’re right, in terms of attestation, and we also rank fourth in the rack organization, now the regional extension centers if you remember we’re engaged in 62 of the fifth, excuse me, 58 of the 62 regional extension centers of the software that is being applied to physicians through that system. We ranked fourth, I think with about 8800 doctors that are on our software through the regional extension system. Now our software historically has been the strong software base for multi-practice, multi-modality system. It’s interesting, though, that we always seem to get a bit of a rack, when it comes down to the singular dark and in spite of that, but I think there is probably about 300 companies that are engaged in the racks. So in spite of that we are ranked fourth in terms of the number of software applications under our NextGen system. So you know we are, we’re working on our software as Steve Puckett indicated in one of the reasons that we’re consolidating our technology effort. Under Steve, we want to get some well managed do extremely well on the vital few and be able to produce the software continue to enhance and upgrade our software, so that is more user-friendly and certainly can meet the specifications for stages and for ICD-10 or 11. And I think that are used in our Analyst Day, Steve can be talking in more depth about those respective areas.
George Hill – Citigroup: Thank you, I appreciate the color.
Steven T. Plochocki: One minor point of correction there. I told you 6.8, it’s 6.3, just want to make sure you get that right. Thank you.
Operator: Your next question comes from Bret Jones from Oppenheimer. Please go ahead.
Bret D. Jones – Oppenheimer & Co. Inc.: Hi, good morning and thank you for taking the question. I want to ask about the pipeline circle back to the pipeline for a minute. I know you guys talked about, about cleaning it up and I thought that occurred last quarter, when the pipelines re-valued on 153. And I’m just curious in terms of the 140 number you’re reporting this quarter, how much of that is because of deals that you just looked out there and thought they realistically shouldn’t be in the pipeline?
Steven T. Plochocki: No, I think Bret the pipeline difference, and I’ll go back, I told you guys we do about 2000 to 2100 sales transactions a quarter, that hasn't changed. The difference in the pipeline has to do with the deals that are in the high six-figure, seven-figure range. There is simply pure leads that are flowing into our deal flow that are in that range. A handful of deals like that can push a pipeline to $200 million, a handful of deals that you don’t have in that area keep it at that $140 million to $150 million range. So that’s the only difference, our activity levels are high, our add-on sales are continue to grow rapidly, our overall deal closure system is in that 2000 to 2100 transactions a quarter. It’s just a vital – a handful of seven-figure deals that used to be more prevalent in our lead flow and deal flow that is have simply slowdown.
Paul A. Holt : And this is Paul, I’d like to add something to that too as well, just keep in mind that this pipeline number is a lot of judgment cost being made around the timing of closure and our probabilities of success. So keep that in mind and also the other point that I did see that we have another category in our pipeline, which is a little further out which we don’t include. And I did see some sequential increase in that, but I'm not – it’s not part of the pipeline number that we report, what was interesting sidebar to the pipeline discussion.
Bret D. Jones – Oppenheimer & Co. Inc.: All right, so there weren’t any deals that where just pulled out of the pipeline because they just weren’t realistic as we did see last quarter?
Paul A. Holt : No, no, no.
Bret D. Jones – Oppenheimer & Co. Inc.: Okay.
Paul A. Holt : No.
Bret D. Jones – Oppenheimer & Co. Inc.: So the 140 number you feel very confident to clean number?
Paul A. Holt : Well, the 140 is a typical pipeline number, and again I think our revamp sales efforts and our revamp sales organization, which we’ll talk to you about in November 5. We’ll show you how we are going to build that pipeline backup and then actually take it to new standards with our sales efforts across the 112 sales individuals making the full fit on multiproduct cross selling efforts. We think that that's going to be an enormous x factor for us just on our core business.
Bret D. Jones – Oppenheimer & Co. Inc.: Okay, great. And can you talk about payer contract that signed, I believe is on the last call and whether there was any revenue recognized in this quarter?
Steve K. Puckett: Payer contract that was signed.
Monte L. Sandler: Yeah, we did have an arrangement with the payer that was signed this quarter. We’re not going to get into the details in terms of the exact amounts of revenue or size of the deal, but it was a significant opportunity for us and we were happy to close it this quarter.
Bret D. Jones – Oppenheimer & Co. Inc.: And there was revenue recognized, and not without getting into amount?
Monte L. Sandler: Yes, that’s again, we’re not going to get into to amounts or details, but it was an opportunity that we did execute on. Some of the sensitivities with some of our customers when we do – when we establish a relationship with them, we want to honor and respect their wishes and desires to keep certain things confidential. There is a huge competitive environment going on out there across the board in terms of health insurance companies and payers and the activities they are involved in. And we certainly want to be their partners in those areas, so we do need to respect their desire to be confidential. But, yes, it was a great deal for us and it's done a lot more growth potential down the road.
Steve K. Puckett: And we're talking to other potential customers in that arena, other payers, we’d like to get more of those.
Bret D. Jones – Oppenheimer & Co. Inc.: Okay. That's great. And then just lastly, I just want to circle back in the replacement market that you guys have talked about, there have been some large health systems that have been pretty vocal about looking to really extend their inpatient vendor into the outpatient market, and I was wondering if you can comment on your own attrition level and whether you are seeing to what degree you’re seeing those health systems replace you in the ambulatory market?
Steve K. Puckett: Well, again, we don’t have – I can’t speak to anything material, is it happen occasionally, I’m sure it does as we replace other people. So it’s not really affecting us materially and I think a lot of that has to do and I would caution everybody to consider that when both statements are made about, give us some time to work us way through, because you may find that those whole statements are necessarily completely accurate and I think that is pretty typical of our sector right now. So is there some attrition, certainly there is. I mean we are one of the largest installed bases in the country rolling into the stimulus. We have 4,400 group practices, 80,000 doctors, there is going to be some attrition, but I can tell you there is even more attrition that we’re seeing in a lot of the other installed bases of that grouping of 300 out there that are starting to realize it can meet standards for the future.
Bret D. Jones – Oppenheimer & Co. Inc.: Okay, great. Thank you.
Steve K. Puckett: Thank you.
Operator: Your next question comes from Sean Wieland from Piper Jaffray. Please go ahead.
Sean W. Wieland – Piper Jaffray: Thanks. Could you guys give the SaaS revenue for the quarter?
Steve K. Puckett: No, we have not – that is included in the other revenue category versus – we have not broken it out.
Sean W. Wieland – Piper Jaffray: Okay. Can you or would you or because I think you have in the past?
Steve K. Puckett: Okay.
Sean W. Wieland – Piper Jaffray: Hello?
Steve K. Puckett: Yeah, okay, SaaS revenue $0.7 million in this quarter versus to $0.5million a year-ago.
Sean W. Wieland – Piper Jaffray: Okay, so how does about based on the percentage of new deals or contract sign nearly about 38% of new deals are coming in on SaaS. What segment of the marketplace is choosing SaaS. It’s small, medium and large hospital where you’ve seen that, and then can you talk about the development of your true SaaS platform, which I believe is NG7 and the timeline on the roll out for that?
Paul A. Holt: Yeah, this is Paul, John, typically the smaller size practices. We’ll gravitate more towards a SaaS model and there maybe some of the smaller hospitals that may choose that type of model as well. So that's the first part of your question. The other part of your question is….
Steve K. Puckett: The new technology product that you might be referring to – completely we will be able to be to run in either way, so it’s a completely cloud oriented product, so having said that this SaaS model will be delivered through a SaaS revenue model through the licensing model that we currently have either way. Yeah, from a total cost of ownership, it could be considered SaaS and good for SaaS.
Sean W. Wieland – Piper Jaffray: Okay, so when is that new product going to be available and is that what is contributing to the higher software capitalization rates?
Steve K. Puckett: Well, I mean it's a part of what we have talked about with the capitalization rate. And we're not actually giving specific time to deliverability right now.
Paul A. Holt: Look we will touch on it on November 5 will give more color on it, on November 5, but all the…
Sean W. Wieland – Piper Jaffray: Okay.
Paul A. Holt: Actually we have a whole series of new product and service offerings that we are going to want to talk you guys about on November 5.
Sean W. Wieland – Piper Jaffray: Okay. One quick one if I could then. RCM pricing pressure, your clinical works is out talking about a 2.9% rate, how does that compare to your average price?
Paul A. Holt: That's been in the market. So I would tell you that we continue to be competitive from a pricing perspective. And I think it’s also important, when you look at RCM services to look at scope of services, I will remind you that our scope of services is full-service, it’s tailored, it’s not a cookie cutter model and it’s a true account management partner type relationship. That being said, we are absolutely competitive in the marketplace without offering as well as any of our competitors.
Sean W. Wieland – Piper Jaffray: Okay, sounds good. Thank you.
Steve K. Puckett: Thank you, Sean.
Operator: Your next question comes from Steven Halper from Lazard Capital Markets. Please go ahead.
Steven Halper – Lazard Capital Markets: Sure. So just to go back to one of the earlier questions, what do you make of the declining class score as for the NextGen ambulatory product? To some degree is that sort of manifesting or is the software line sort of reflecting some of that decline in user satisfaction.
Daniel J. Morefield: Hi, this is Dan. Let me take a shot at that one and I will ask my friends here to step in and support me as (inaudible) I think a month and a day. Clearly, one of the pillars that we will continue to focus on is client satisfaction across the board. And studying and understanding the class scores how they are produced, the trends on those are things that they are underway today. I think we said before that one of the places that we want to continue to enhance our product line is on is being a more intuitive. And so I think there are some components that are sharper related, but quite honestly there are other components on the quality of our training and implementation, customer service, how we build them every piece that we touched the customer impacts client satisfaction. So I think it’s part of it, but I don’t think it’s all, and if something that we will spend a lot of time and attention and focus, because it is clearly a pillar of what we want to do going forward, client satisfaction at the end of the day it becomes one of those critical drivers for long-term success in a company and any product.
Steven Halper – Lazard Capital Markets: So do you think that you have the necessary infrastructure and tools in place to measure that client satisfaction at the pace that you should be?
Steve K. Puckett: I think that we have many of those, do I think we have all of them, I think that we probably don’t have all of them or at least I haven’t found all of them, but I believe that we have significant to be able to understand it well and to be able to drive change.
Steven Halper – Lazard Capital Markets: But it sounds like there is room for improvement there.
Steve K. Puckett: Absolutely.
Monte L. Sandler: Absolutely, and then just Steve if I could just add as we are consolidating our efforts under new management and sales and marketing and we are doing the same under technology, Dan is going to be making it one of his priorities for sure for us to create more of a balanced approach and synergistic approach in terms of implementation, training and other areas, customer service, customer satisfaction. So that’s, it’s an initiative that we have in place, we know we have to improve there, but again I’m not saying there’s many of the things we’ve done in the past were not correct, what I’m saying is that the compounding effect of the stimulus which created a huge growth surge in sales the tail on that is implementation, training, customer satisfaction and I think probably is an organization we’ve done a better job there in anticipating all the needs, desires, wants and of a customer and it’s an initiative now one of our priorities of looking forward.
Steven Halper – Lazard Capital Markets: Great, thanks.
Paul A. Holt: Thank you.
Operator: Your next question comes from David Larsen from Leerink Swann. Please go ahead.
David Larsen – Leerink Swann: Hey guys. Can you just sort of talk about your overall cost structure, I mean obviously revenue growth on a year-over-year basis is coming in a bit below, the original guidance that was provided at the beginning of the year, did you staff up, based on your original expectations for revenue growth and if so, do you expect to reduce cost through back half of the year or we had a pretty good run rate based on what we’re seeing in this quarter? Thanks.
Daniel J. Morefield: Hi, this is Dan again. I’m going to take a stab at this one as well. Clearly, one of the things that we want to continue to make sure is that our cost structure is optimized and the optimization is not only investing in the future, but being at the right cost structure for the current revenue stream. So the answer to that question is that, it’s a focus, it’s an area that we – as we see trend lines changing on the revenue side, it’s just good management practices to look at your expense control, how you spend money and to manage those appropriately. So we’re not, we have no definitive statement, we’re going to specifically change cost line items, but it’s absolutely a discipline that we are focused on to make sure that as we go forward our cost structure is in line with both our current revenue and sales activities, as well as positioning us appropriately for future growth.
David Larsen – Leerink Swann: Great, thanks very much. And then just one more, as far as strategic acquisitions go, can you just give us a sense, are you looking to gain market share or perhaps buy some sort of complementary technology?
Steve K. Puckett: Yeah, as we’ve said in the past and we’ve said again in our prepared statements, we look at complimentary, supplementary type acquisition and/or something that gives us new entry into a product or service offering that we can use to cross sell within our installed base. An example would be and we’ve cited this in the past and I said at my statements, we want to expand our RCM capabilities beyond physician and to the dental markets, as well as the hospital markets. And we are looking at opportunities to do that. We also want to add supplementation and expansion into our hospital solutions business. And we are looking at opportunities along those lines as well. And then there is an enormous number of new market opportunities with new early stage products and service offering that we think we’ll able to enhance our capabilities to service accountable care organization, which are now in their very early stages but we’re actively involved in a large number of them across the country. So, that’s the best way I think for us to summarize that.
David Larsen – Leerink Swann: That’s very helpful, thank you.
Steve K. Puckett: You bet, thank you.
Operator: Your next question comes from Richard Close from Avondale Partners, Please go ahead.
Richard C. Close – Avondale Partners, LLC: Okay, I’ll try to keep it quicker since we are doing Steve Puckett, I was wondering if you can talk a little bit about the hospital segment I guess revenue were down in the quarter year-over-year and profitability, operating profit down year-over-year, you called out someone times, I’m not sure exactly what those are, If you can tell into detail? And provide more detail
Steve K. Puckett: Well, let me think part of the question, I’ll let Paul provides them other detail, but I did want to let you know I don’t see anything as far as any kind of trend there is something like that is set normal, we’ve six to ten deals I think typically on quarter, and in sort of what we’ve see and sometimes we’re closed to the six something or closed to the ten side. The previous quarter we had several other hospital, I’d say we had one right on the edge that we’ve actually closed since then. So I don’t just to tell you about the top-line number I don’t really a whole lot of change there at all. But I’ll let Paul handle the other PC we are talking about.
Paul A. Holt: Hey, Richard. So we have at times we may have different issues around timing of revenue recognition and sometimes you have some revenues maybe delayed or due to various reasons that come up from time to time until we had some of that. And then we also had some credits that we did take during the quarter that we don’t expect to be repeated. And so the sum of all of that is that this quarter should not be indicative of what is going to be happening going forward here as I think that should be the picture that you should be left with.
Richard C. Close – Avondale Partners, LLC: Okay. On the credits any other details there I mean what were credits for?
Steven T. Plochocki: Yeah, I don’t want to get into the details at this time, but just understand it’s not expected going forward this year.
Richard C. Close – Avondale Partners, LLC: Okay, thank you.
Steven T. Plochocki: Yeah, thanks.
Paul A. Holt : Operator, we’ll take one more question please.
Operator: Your next question comes from David Windley from Jefferies. Please go ahead.
David H. Windley – Jefferies & Company, Inc.: Thanks for squeezing me in. So in the reference earlier to hospitals wanting to pushing there inpatient vendor into the outpatient environment, I’m wondering if that is having a direct effect on the other comment that you made about not seeing the bigger deals in your pipeline and if so, can you quantify that?
Steven T. Plochocki: Well, I think the market condition on bigger deals in the pipelines have a lot to do with the fact that most analysts in industry reports are showing pretty clearly that the mid-to-large group practice market is rapidly being absorbed. It doesn’t mean this totally saturated, but there are fewer and fewer of these opportunities made available for the marketplace as we’ve seen with the large hospital, the large hospital systems are pretty much have all made up purchasing decision larger groups and mid group practices were most sophisticated, most of them have made purchasing decisions So the reason that our activity levels continue to remain extremely high, but it’s affecting our deal flow on the high end is because there is still lot of market left just the high end market that there is just simply left out and I think that’s been pretty well established to a number of industry reports including reports out of CMS.
David H. Windley – Jefferies & Company, Inc.: So Steve in your prepared remarks, you talked about or in the prepared remarks, you talked about sales rep count is down, pipeline is down, other than questions about cost structure, is the sales force reorganization allowing you to be effectively fewer reps, or is that a number that needs to go up from here.
Monte L. Sandler: Yeah remember the reorganization is less than a month old. And likely is still evolving, but the future of the organization is going to be more rep, but all the reps will be multi product sellers, they will be selling every product line in the company, it won’t be business units specific and hence we believe that we’ll have the opportunities to do more multi product selling. And then of course we are developing and enhancing our internal operations to create leads for cross-selling, across every one of our product line. Gary Voydanoff is going to be the champion of that. He was just promoted into this role less than a month ago and again if you, David, if you are at our Analyst Day in November 5, Gary is going to laid this out more clearly. But in the future, we believe we will be doing more multi product selling, more cross-selling if you are doing a better job take advantage of the existing market and we are going to be doing it with more people.
David H. Windley – Jefferies & Company, Inc.: Is it possible on that just dovetail on that last thought, is the new management organization or what about the new management organization in sense, and encourages more synergy between the inpatient division and the ambulatory division.
Daniel Morefield: Right, this is Dan. Let me go ahead and take that. A couple of things, the first one is that for the first time all for the business units we report up to 1%. And so from that perspective it's a lot easier for me to work with the division heads to affect basically a non-siloed approach toward cross selling, that’s item number one. Number two, is the development shared services models, across Steve Puckett’s organization and the technology Gary’s organization on the sales – these all cross division lines. These all provide opportunities and further enhance our ability to work together. So we really gone from a portfolio accompanying approach to a fully integrated approach and even today or even as early as now we are already beginning to see the results of that from enhanced cross selling opportunities and executing against those opportunities.
David H. Windley – Jefferies & Company, Inc.: Thank you that’s helpful I appreciate it.
Daniel Morefield: Okay David thank you. Just in summary, I want to thank everyone for joining us on this call. We are extremely excited about this management team and our future; we’ll see most of you I am sure at our Analyst Day on November 5. And if there is a testimonial to our company and NextGen product offering, our user group meeting, which is in the middle of November. The numbers are starting to approach 5,000 in terms of attendees, there’s an enormous interest level and us what we’re doing in the product and service offerings that we are extending to the market. The foundation of the company continues to be very strong. I know we are going through a period here, where we’ve got a low, but I don’t see that as our long-term situation. As a matter of fact, I think we’re going to start seeing a pretty good reversal on that in the near-term. We are still a company that has 68% recurring revenue, we have no debt, we produced a lot of cash, our net income and operating income margins continue to sit at the top of our sector and our mission and goal is to, through our restructuring, through many of the new people you are going to meet on November 5, is to demonstrate to you that we have the right solutions and right people to build that pipeline backup and to put the company where it belongs, where its historical tracking has been and that is at top of our sector. Again, I thank you very much and look forward to seeing most of you on November 5. Take care.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.